Operator: Good day, ladies and gentlemen, and welcome to the Tutor Perini Corporation Third Quarter 2013 Earnings Conference call. My name is Jasmine, and I will be your coordinator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Mr. Jorge Casado, Director of Investor Relations. Please proceed.
Jorge Casado: Thank you, Jasmine. Good afternoon, and thank you, all, for joining us. With us today are Ronald Tutor, Chairman and CEO; Robert Band, President; and Mike Kershaw, Executive Vice President and CFO. Before we discuss our results for the third quarter, I would like to remind everyone that during today's call, we will be making forward-looking statements, which reflect our current analysis of existing trends and information. There is an inherent risk that actual results and experience could differ materially. You can find the discussion of our risk factors, which could potentially contribute to such differences, in the company's Form 10-Q, which will be filed later today, and in the company's 10-K, which was filed on February 25, 2013. During this call, we may discuss certain non-GAAP financial measures. Reconciliations of these amounts with the comparable GAAP measures are reflected in our earnings release, which is posted in the Investor Relations section of our website at www.tutorperini.com. With that, I will turn the call over to our Chairman and CEO, Ron Tutor.
Ronald N. Tutor: Thanks, Jorge. Good afternoon, and thank you for joining us. As is typical, I will provide an overview of the company's recent developments, performance and discussion of our Civil, Building and Specialty Contractors markets and opportunities, and I will turn the call over to Bob Band to discuss the Management Services market, which is primarily our overseas work. Then Mike Kershaw will discuss the details of our financial results for the quarter. We had a strong third quarter characterized by strong backlog growth, the usual revenue that follows and -- a very strong profitability in our Civil segment, offset by somewhat lower revenue in our Building segment, which I will speak to later, and reduced profitability in our Specialty Contractors segment. The company's backlog increased 24% year-over-year to $6.9 billion, a new high since the third quarter of 2008, largely driven by the award of the $1,022,000,000 California High-Speed Rail project, our share of which is $511 million as the managing partner; and other large Civil awards, mainly 2 Wisconsin highway projects announced in the quarter together valued at $191 million; and a $40 million landfill contract awarded on the island of Guam. In addition, as we press released earlier today, we were recently notified that a joint venture managed by Lunda Construction was the low bidder for the $380 million St. Croix Crossing bridge superstructures project in the Midwest, and we anticipate the award of this contract by the end of November. Our operating margin improved to the highest quarterly level in 3 years, driven by solid growth and project execution in our Civil segment. We are pleased with our new Civil awards and the group's strong project execution, and we expect this group to continue to contribute significantly to our growth and performance in the coming quarters. Our Civil segment has commenced work and is ramping up on the California High-Speed Rail, which is centered in the city of Fresno; and the San Francisco Central Subway, which we just started, both California contracts; as well as the Amtrak tunnel, the City Island Bridge and the Verrazano-Narrows Bridge upper deck rehab project in New York; and the Alaskan Way Viaduct tunnel project in Seattle, which has commenced tunneling and should be in a production mode as we speak. The Civil segment's revenue increased year-over-year, and its profitability was particularly strong in the third quarter. We expect Civil revenue volumes to continue to grow due to the Alaskan Viaduct progress and the ongoing ramp-up of the previously mentioned projects. Backlog for the Civil segment at the end of the third quarter was $3.1 billion, up 84% year-over-year. And we are currently waiting a $600 million letter of intent for the Hudson Yards platform, which we expect virtually any day to be followed shortly thereafter by the formal contract. We estimate the size of prospective opportunities that we intend to bid in our Civil infrastructure market to be approximately $9 billion over the next 12 months including more than $3.5 billion in various mass transit projects and $2.5 billion in various bridges. The Building segment booked more than $100 million in new awards, including $55 million for 2 educational projects and a $21 million project for the Roy Anderson company. The volume and new awards in the Building segment continues to be low due to certain projects being delayed that are now expected to be awarded in the fourth quarter. The Specialty Contractors segment booked $370 million in new awards and adjustments to existing contracts, including a $47 million electrical subcontract for an MTA station in New York and a high-rise residential tower in New York City. The Building segment declined year-over-year due to reduced activity on certain large healthcare and office projects and the lack of progress on others. Importantly, however, I will note that this year's Building segment revenue is not directly comparable to last year's due to the CM not-at-risk contracting arrangements for the Hudson Yards South Tower and the 500 West 30th Street projects. For these projects, our recognized revenue excludes project components that have been contracted to external subs directly by the owner. We estimate there was approximately $44 million of excluded revenue for these projects in the third quarter alone, keeping in mind that the 2 total contracts that approximate $850 million. This accounts for the majority of the Building segment's revenue decline compared to last year on a pro forma basis. This will continue to be accented as we move into the balance of Hudson Yards, where the backlog could literally increase by $2 billion to $3 billion with very little of the revenue hitting our books, but certainly our profit and fees. The Building segment's revenue and margins are expected to improve over the next year, of course, driven primarily by the additional phases of Hudson Yards as they come on board and by progress on courthouse projects in Florida and California and other recently awarded building projects. Building segment backlog was down 15% year-over-year, believed to be specific to delayed new awards. However, we expect to announce several new building projects award during the next 2 quarters. In addition, we are looking at approximately $9.5 billion of prospective projects in our segment to be bid or proposed upon over the next 12 months, including a significant number of hospitality and gaming projects and the LaGuardia terminal replacement project estimated by the Port Authority of New York at $2 billion. Backlog for the Specialty Contractors segment at the end of the third quarter was $1.7 billion, up 18% year-over-year. The Specialty Contractors segment continues to have a healthy pipeline of new project opportunities totaling about $3 billion that will be bid over the next 12 months. We also have had a proposal in for over a year on the New York Transit Authority tunnel completion, which has the potential for an additional $400 million into our Specialty groups. And since we're 1 of 3 proposers, we expect to get that results by the end of the fourth quarter. Overall, our backlog mix this quarter was approximately 27% building, 45% Civil, 24% Specialty and 4% Management Services. This increased Civil component of our backlog bodes well for future growth and improved profitability since our Civil segment has recently been booking, obviously, the largest projects and has always generated the highest margins for the company. As I've said many times in the past, the Civil Group will be the leader in revenue and profitability for Tutor Perini, as it continues to be. Pending awards at the end of the third quarter continued to be strong at $4.5 billion. There are more than 50 of these pending, including up to $3 billion in additional components of Hudson Yards and other educational, hospitality, gaming, government and bridge projects. Now I would like Bob Band to share details of our Management Services segment. Bob?
Robert Band: Thanks, Ron. The Management Services group was one of several firms recently awarded a new 5-year $600 million multiple award IDIQ contract for the U.S. Army Engineering and Support Center in Huntsville, Alabama. This contract enables us to bid for task orders under the Huntsville Center's Energy Conservation Investment Program. Task orders under this contract will entail design build or construction and/or construction of renewable energy and energy savings enhancements at government facilities located throughout the U.S. and at various locations overseas. As a reminder, throughout 2014, we will be transitioning out of U.S. military construction projects in the Middle East war zone. But in the meantime, we are currently still actively engaged in work on projects in Iraq and Afghanistan, which were awarded in 2012 and '13. We are continuing work under our 11 IDIQ contracts for USAID and the U.S. Departments of State, Defense, Homeland Security and the Interior, both in the U.S. and overseas. These contracts produce a constant stream of project opportunities. For the Department of Homeland Security, we're originally awarded infrastructure projects in Puerto Rico and Alaska that will extend through 2014, and additional task orders are anticipated at those locations. Federal sequestration and government shutdown issues have resulted in delayed processing of bids and proposals and, generally, a lack of various agencies awarding their priority projects. These issues have also delayed the processing of contract modifications where needed to progress the work in the field. And the most notable impact has been slowed progress in our Southern Electric Power System project in Helmand Province, Afghanistan due to delayed security-related funding. This funding has recently been received, and the project is back on track. The $122 million task order project in southern Iraq and the U.S. Department of State containerized housing and office contract will be completed in December 2013, although we have continued to receive modifications for additional work there. Also, in Afghanistan, the $130 million Irrigation and Watershed Management Program for USAID is well into its first year and is fully operational and, if fully funded, will extend through 2017. Our $10.4 million contract with the National Park Service for the earthquake repairs to the Washington Monument is well underway with completion targeted at early 2014. The repairs to the structural cracks in the masonry have essentially been completed, and the scaffolding around the monument will be coming down incrementally. We continue to see new potential project opportunities developing with the U.S. Department of State under our recently awarded IDIQ due to increased focus on embassy and consulate security with RFPs anticipated in 2014, as well as 2 U.S. Embassy-related construction projects, which have been delayed due to funding, but should be released in 2014. Tutor Perini has a strong resume of embassy security upgrade projects as performed at more than 4 dozen locations worldwide over the past 30 years. In addition, we anticipate U.S. managed, but host country-funded foreign military sales project opportunities evolving in the Middle East supporting major aircraft sales programs, such as the F-15s and F-16s, as well as regional radar facilities. These opportunities will be in Saudi Arabia, Qatar, United Arab Emirates, Oman and Iraq. And as anticipated, these opportunities will develop incrementally in 2014 and '15, and all of which will be managed by the U.S. Air Force or the U.S. Army Corps of Engineers and task orders awarded only to U.S. contractors through our current IDIQ contracts. We'll also continue monitoring for congressional defense budget reconciliation and authorizations, which may include approximately $230 million for projects in Guam. This funding would mean a much needed boost to the industry on the island and will provide additional opportunities for our Black Construction business there. Black Construction continues to pursue work throughout the Western Pacific region. They're working on the $75 million North Ramp parking apron project in Andersen Air Force Base and are about 88% completed at the end of the third quarter. Black has also started an $11.6 million wharf improvement project to naval station, Guam. The company has recently received approximately $77 million in new awards beginning with a 20 -- approximately $24 million housing renovation for the Navy, a $40-plus million award for landfill closure for the government of Guam and a $12.7 million Duty Free shopping facility at the Guam Airport. The company continues making good progress in Diego Garcia, reporting 60% completion on a $10 million Navy maintenance dredging project, and we are also pursuing a 5-year $95 million IDIQ for additional work there. Earlier this year, Black successfully completed a $32.7 million runway reconstruction project for the FSM State of Kosrae and is looking to participate on a similar-sized project for the state of Chuuk, which should be bid in the first quarter of 2014. The Port Authority of Guam will also be extending -- expanding their container yard by approximately 10 acres with concrete paving. Black's experience and past performance will hopefully place us in a good position to secure this project valued in the $40 million to $50 million range. Now Mike will give you the financial details for the quarter.
Michael J. Kershaw: Thanks, Bob. Revenue in the third quarter was at $1.03 billion, down 6% from last year's $1.1 billion, which reflected net reduced activity in the third quarter of this year in Building, partially offset by strong activity in the Civil segment. Gross profit on the other hand in Q3 was up 5% in the quarter at $121 million versus $115 million last year and represents a gross profit margin of 11.7%, which is up 120 basis points from last year's 10.5%. SG&A at $63 million was virtually flat with last year's $61 million, driven by increased performance-based compensation this year, expenses associated with the implementation of our ERP system, and that was partially offset by headcount reductions and increased utilization. Our income from construction operations at $58 million was up 6% from last year's $55 million, and our operating margin of $5.6 million is the highest quarterly operating margin that we've had in 3 years, up 60 basis points from last year's 5%. Net income for the quarter was $24 million, down by -- from $43 million last year, but that was because, last year, we had the benefit of a $16.8 million tax benefit associated with our goodwill impairment. As a result, our diluted EPS this year was $0.49 compared with last year's $0.54. Overall, our third quarter results were in line with our internal expectations, with strong operating performance in Civil offsetting the lower revenue in Building and lower profitability in Specialty Contractors. And as Ron stated, we expect both of those declines to improve in the coming quarters. We expect our fourth quarter to close out the year within our previous EPS guidance range. As a reminder, our backlog volume is understated by about $400 million due to the construction management not-at-risk work associated with Hudson Yards and 500 West 30th. Starting with our Civil segment. Our revenues this quarter is up 8% to $375 million from last year's $346 million. That increased revenue is due primarily to the startup of our rail transportations and projects in California, a concrete tunnel project in Hudson Yards in New York and increased activity on pipeline projects in the Middle West. This is partially offset by substantial completion of a bridge rehab project in New York last year and reduced activity on a large tunnel project in California. Our income from construction operations of $48 million was up 81% from last year's $26 million, and that increase is due primarily to the increased volume and the mix of work that's being performed. Our operating margin of 12.7% this quarter is up over 500 basis points from last year's 7.6%, reflecting a very healthy profitability, which contributes to a year-to-date operating margin of 10.6%. Our Building segment in Q3 was down 15% at $331 million versus $391 million. However, adjusting for the $44 million of excluded construction management not-at-risk revenue, our Building segment revenue was actually only down 4% compared with the third quarter of last year. That reduction is due to reduced activity on some large healthcare and office projects in California, substantial completion of some hospitality and gaming projects in the southern U.S., and that was partially offset by increased activity on courthouse projects in California and Florida and on the South Tower at Hudson Yards. Our income from construction operations of $14 million is down from last year's $21 million, and that decrease is primarily due to the reduced revenue that we discussed. But also, last year, we had some estimated recoveries on some large healthcare and condominium projects last year that weren't repeated this year. Our operating margin this quarter was 4.1% versus 5.3% of -- in last year, driven by the factors previously disclosed. Year-to-date, we're at 1.8% margin. Our Specialty Contractors segment was down 9% in the quarter at $288 million versus $315 million for last year, predominantly due to reduced activity on several electrical projects in New York. Our income from construction operations was $9 million compared with $14 million of last year, a drop of 35%, and the decrease is due to this unfavorable productivity that we had last year on several electrical and mechanical projects in New York; and, this year, some project cost estimate changes associated with execution issues on various smaller concrete placement projects. Our operating margin at 3.2% is down from last year's 4.5%, which is below our margin expectation for the segment but, year-to-date, were at 5.1%. Our Management Services segment's revenue was $36 million, down from 22% from last year's $47 million, and the decrease is due to the wind-down of our containerized housing projects in Iraq and reduced activity on several security projects, partially offset by increased activity on an aircraft parking apron project in Guam. Construction -- income from construction operations was $1 million compared with $3 million last year, driven by the volume that we discussed, but partially offset by a favorable productivity on the aircraft parking apron project in Guam. Our operating margin at 3.7% is down from last year's 6.1%. Our other expenses, depreciation and amortization in the third quarter is virtually flat at $14 million compared with $15 million last year. Our interest expense is $12 million this year versus $11 million last year, and our income tax expense is driven by the change in goodwill in $13 million this year versus $2 million last year. Our effective rate for the quarter was 35.8%, and we continue to forecast approximately 39% to 40% for our normal levels of activity in the fourth quarter of this year. Our balance sheet, working capital was up $73 million at $821 million versus $748 million last year. Our cash and cash equivalents were $128 million versus $168 million last year. Our current ratio is flat at 1.61. And our strong focus on cash and working capital management continues to produce good results. This quarter, we generated $28 million in cash from operating activities versus $4 million last year, which resulted in $16 million of free cash flow compared with the usage of $8 million this time last year. Our total debt at the end of Q3 was $778 million versus $737 million at the end of the fourth quarter of 2012. Our total debt-to-equity ratio is 0.65 compared with 0.64 at the end of the fourth quarter of 2012. I'll now turn the call back over to Ron for closing comments.
Ronald N. Tutor: Thanks, Mike. I continue to be pleased with the strong growth and profitability of our Civil works group, as we've been fortunate enough to land some very significant contracts, both in California and New York during 2013, that should carry over from -- for the next 3 to 4 years in their executions. We continue to be a leader in the major civil works programs in the United States, and I intend to leverage that leadership role and to continuing to grow that sector, both on the East and West Coasts with particular emphasis on the larger, more complex jobs that, of course, hopefully, will continue to generate the higher margins. Our Building business continues to be difficult. However, it has, without question, turned the corner from the 2012 year. We expect 2013 to have a measure of profit not up to our norms, but certainly trending in the right direction. And without question, 2014 and '15, at Hudson Yards and other awards, ramp-up will begin to restore the Building Group to some measure of its former profitability. The Specialty group had some issues in the second half of 2013 specific to certain jobs in New York. Those should be behind us at the end of the year, and I expect continuing strong performance, particularly emphasized in New York between our subsidiaries there and in Texas. The next 2 years should be strong periods of growth for Tutor Perini, with its Civil Group leading the way both in revenue and profitability, as various large projects continue to unfold. We expect to start shortly the Hudson Yards platform, another $600 million Civil works endeavor, which, added to the major projects I spoke to earlier in the call, can give you a sense of the degree of revenue and profitability built into our Civil Group. We continue to expect those Civil markets to remain strong for at least the next 5 years. For me to speculate beyond the 5-year window is illogical, but I see no reason that our markets won't continue in Civil work. In addition, as the U.S. economy continues to recover, I have to admit that in dealing with many of our developers, not just in New York City but elsewhere, it appears there is a definite trend with the banks, the insurance companies and the major institutional developers to begin to build large projects in the large urban cities in California and New York at a minimum, and we see gaming beginning to come back with the advent of gaming in Pennsylvania, New York and Massachusetts. So we see Building Group actually beginning to see the light and, hopefully, rebuild its backlog and profitability. This concludes our prepared remarks. I'll now ask the operator to open the call for questions. Thank you.
Operator: [Operator Instructions] And your first question comes from the line of Steven Fisher from UBS.
Steven Fisher - UBS Investment Bank, Research Division: Just on the Civil side, on the profitability, were there any closeouts in the quarter? Or is this now a run rate of margins and profitability that you can build on going forward, just seasonality aside?
Ronald N. Tutor: I'd say, without question, it's just a run rate. There were no real significant write-ups or closeouts, Steven. I think it's a run rate, and the new work is essentially very profitable and we expect to run it out.
Steven Fisher - UBS Investment Bank, Research Division: Okay. And then, your implied fourth quarter range of both revenues and earnings per share is pretty wide. But there are a few things that could really swing the quarter like some closeouts or are you tracking towards the midpoint, just kind of saw no reason to change it. Any thoughts there?
Ronald N. Tutor: Well, any reflection would really take place in the review of the fourth quarter. Yes, there are certain closeouts that could affect it, but I reserve with Mike the right to review them at the close of the fourth quarter when we have better information and more progress.
Steven Fisher - UBS Investment Bank, Research Division: Okay. And then, just the 4.1% Building margin, does that fully reflect now your Hudson Yards treatment, or is there still some expansion to that margin ahead? Or maybe, conversely, you have other things going in that might depress it?
Ronald N. Tutor: There's nothing really that could depress it. The Hudson Yards margins are running at right under 2%. Most of our other building work is higher than that. So I'd say what are we projecting is our melded rate. Mike?
Michael J. Kershaw: We -- it all depends on how that work unfolds because we don't -- we have the distortion of the construction not-at-risk money is not flowing through there. So there's still that mix that is going to cause us -- difficult to explain in this quarter, which is what we did this quarter. We had $44 million of revenue...
Ronald N. Tutor: One of the difficult things to explain, for example, is, on Tower C, we do the work as the construction manager for -- we do it for that construction management margin. But in addition, we have a $143 million subcontract to do the concrete work that is in lump sum with a significantly higher margin.
Michael J. Kershaw: Right.
Ronald N. Tutor: So we -- and then, on top of that, we have a $56 million contract with Five Star Electric to do the electrical. So although we have a CM at-risk margin as the builder, with none of the revenue flowing through, we then do $200 million of the work with our own forces at a significantly higher margin. So as long as we've got that, I feel like I've got to deal quarter-to-quarter with you. It's really hard to track it as we have in the past, where it's just a run rate times a fee.
Michael J. Kershaw: It's going to become more significant, as those projects -- ground as well and start to rise. We'll have to address it each quarter depending on the phases at which subcontractor executes in each period.
Steven Fisher - UBS Investment Bank, Research Division: That makes sense. Just one last quick one, another quarter of positive cash flow from operations. How are you thinking about cash flow in the fourth quarter, Mike?
Michael J. Kershaw: We're still pushing as hard as we can to generate cash. We have meetings set up on a regular basis to continue to monitor each of the business units and continue to drive them to positive cash flow.
Ronald N. Tutor: One of the things I might add is we're a major player in New York, one of the most difficult places in the country to work from a cash flow standpoint. Nothing in New York pays on a timely basis. We're still trying to collect the last $17 million owed to us since we finished Hurricane Sandy last March. That and coupled with probably another $80 million to $90 million in overdue payments, where they're not in dispute, however, that's how it is to work in New York City. It continues to confound me. However, in fairness, that's life in New York. You do the best you can to collect and mitigate, but I'm not going to change the city of New York and how they do business.
Operator: And your next question comes from the line of John Rogers from D.A. Davidson.
John B. Rogers - D.A. Davidson & Co., Research Division: A couple of things. First of all, Ron, you mentioned the Alaskan Way tunnel project is going into production now. Are you recognizing revenue on that -- significant revenue already?
Ronald N. Tutor: Certainly -- and the project has been ongoing for over 12 months. When I said it's going into production, we put the tunnel machine in the launch pit, we are driving tunnel, have been for the last month, and we should be in full production, as we speak, in the tunnel. And that drives a huge amount of revenue over the next 12 to 15 months.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. I just want to get some clarity on that. And then, the other question I had is -- there was a substantial non-operating expense item in the quarter. What was that? The $9 million?
Michael J. Kershaw: Yes, that's -- no, no, that's the -- in all of our acquisitions, we have earnouts that are put in place and we estimate those at the beginning of -- when we do purchase accounting and any adjustment that comes through because of either enhanced performance or increased profitability, we have to accrete that as we go along, and that goes through the other expense line.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. And is that a variety of the acquisitions, or was there one in particular?
Ronald N. Tutor: There was one in particular.
Michael J. Kershaw: One in particular, but there were a couple. There were 2 in there that had adjustments this quarter, but one in particular did very well.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. How much...
Ronald N. Tutor: And they did do -- that very well ends in June of next year.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. That was my question. Okay. So we could some more adjustments any time up until June of next year?
Michael J. Kershaw: Yes, you could. Unfortunately, what it does in the short term is mitigate those -- the operating income, which, as Ron says, will start next year.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. And how much potentially is left on all of that?
Ronald N. Tutor: We haven't given you a projection for next year.
Michael J. Kershaw: Right.
Ronald N. Tutor: But certainly, with a 6-month window to project the earn-out, it will be 1/2 of what it will be this year and then it drops off as of June.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay, okay. I just wanted to understand how it works. But otherwise, your quarter was a lot better, but -- okay.
Ronald N. Tutor: Correct.
John B. Rogers - D.A. Davidson & Co., Research Division: And then, Ron, just -- sorry, back to the building question -- margin question, again, should we -- given the mix of work that you've got in Hudson Yards growing, but then you'll also have some other Building segment, what should we think about for Building margins over the course of the cycle? Last time, when we're doing the Vegas work, it was -- it got up -- it was about 3% -- maybe a little higher was the best. Is that sort of run rate in a stronger market to think about?
Ronald N. Tutor: I would say, in the market we're in now, it's a 3% with the exception of Hudson Yards, which is less. We really are consistently negotiating and closing at 3% to 3.25% with the exception of Hudson Yards. We've closed a couple of other large building negotiated contracts that will go to award in the fourth quarter. And they're at 3%, 3.25%. The Hudson Yards is different because of its size and strategic quality. But the rest of it -- I'd go back with you, John, when we were in Las Vegas, virtually everything we did carry to 4% or higher. That's been reduced down to 3%, and the only place we're less than 3% is at Hudson Yards.
Michael J. Kershaw: And then, we kind of make up for that with the construction management revenue not-at-risk.
Ronald N. Tutor: Correct. And one of the aspects of Hudson Yards kind of interesting does and a first time, we don't guarantee anything. It's just we provide management on a cost-plus basis with no real guarantees of either price or schedule. Even though we take both very seriously and we operate the same way, we're not asked to guarantee either. So I keep rationalizing. That's the reason we get less fee.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. All right. Turning on the Specialty Contracting business, is that just a temporary dip that we're seeing here? Or is -- do we [indiscernible] building business [indiscernible]?
Ronald N. Tutor: Temporary dip related to one particular contract that our people didn't do a very good job. Very candidly, they negotiated the settlement of the first 2 years of a 3-year contract, thought they'd resolved it all and discovered they had a major loss in the third year and we had already signed away all our rights properly in the settlement, but they haven't accounted for it so we took a third quarter significant write-down in our New York electrical operation.
Michael J. Kershaw: As we said, John, our margin expectation there is 5% to 7% for Specialty overall. And year-to-date, we at 5.1%. So we're still in the band despite what Ron is talking about...
Ronald N. Tutor: Despite what happened.
Michael J. Kershaw: We're still in the band about of our levels of expectations, as we went into those acquisitions.
Operator: [Operator Instructions] And your next question comes from the line of Alex Rygiel from FBR.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: Two quick questions. First, Ron, could you talk a little bit more about sort of the future of the Hudson Yards site, maybe the timing of the North Tower or any other structures or opportunities you're going to be bidding on?
Ronald N. Tutor: Well, we think we have them all. Our letter of intent that I signed with Steve Ross said that we would build all of Hudson Yards, and that's how we're moving forward. As I said earlier in the call, I have been negotiating and expect to get an executed letter of intent literally within days on the platform at $600 million -- it was $599 million, and we're, at the same time, negotiating the final terms of the contract, which should follow hopefully within a week or 2. We are already ordering steel with Related's approval and well into being manned up and ready to start Hudson Yards hopefully during the month of December. We are building budgets for Tower A, which is a $1,400,000,000 tower. The north residential tower as well as the real -- the retail development is also being budgeted, which we expect to build, which is another $1 billion. We are budgeting and scheduling and coordinating virtually all of Hudson Yards with the expectation that we're going to build it all.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: That's great. And then, could you also talk a little bit about the casino and hospitality market in Las Vegas? I know you referenced a few other states where you're starting to see a comeback. But how about Las Vegas?
Ronald N. Tutor: I don't see that market being anything that's going to grow. The only potential casino project there is -- the Malaysians took over -- Genting took over the old Boyd Gaming Echelon project that -- where a skeleton was up across the street from the Wynn. They are talking about a $3 billion project. We built the Aqueduct Casino for them in New York. I don't know that it ended very nicely because there were some issues of collections of funds. I collected the money, but it may have impacted our relationship. And we really haven't had any overtures from them, although we've been trying to talk to them about the possibility of building it. I really can't tell you whether we have that possibility or not because of the lack of communication. But other than that project, I don't see any construction in Las Vegas for us to participate in for the years to come. It's an overbuilt city with a gaming component down. And with gaming going in Massachusetts and the potential in New York, we believe we're going to sign a contract to build another addition to the Mohegan casino in Connecticut and other casino additions and projects in what we call the peripheral markets. I just don't see Vegas going anywhere quite candidly.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: And lastly, as it relates to California High-Speed Rail, there's always chatter that some are speculating High-Speed Rail is a dream and at some point the rail lines aren't going to be built or whatnot. But what -- being on the ground now, starting construction and all, what is your sense with regards to the long-term viability of California High-Speed Rail?
Ronald N. Tutor: Well, we're -- they're building the first phase, which, as you know, our contract is over $1 billion. And I deal with the principles all the time, there's no doubt in my mind they'll finish this first phase over the next 5, 6 years. And once that's accomplished, I believe they'll continue to fund and build the balance. It may take 20 to 25 years to finally finish it, together with all of the equipment that it takes to run High-Speed Rail. And this is California. In America, everything we ever do is decried, knocked down in the media, cynically approached. When we started building the L.A. subway system in the '80s, everybody said it was the subway to nowhere. It will never get done. No one will ever ride it. Well, of course, ridership is up. It's continuing 30 years later to go out to Santa Monica, the airport, the valley. It's the negativism that pervades our world. High-Speed Rail will be built. I may not be alive to see the end, but it will get built.
Operator: There are no questions remaining at this time. I would like to turn the call back to Mr. Ron Tutor for any closing remarks.
Ronald N. Tutor: Thank you, everyone, for joining us. Until we meet again.
Operator: This concludes today's conference. Thank you for your participation. You may now disconnect. You all have a great day.